Operator: Good afternoon. My name is Jesse, and I will be your conference operator today. At this time, I would like to welcome everyone to the Workiva First Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Adam Rogers, Director of Investor Relations, you may begin your conference.
Adam Rogers: Thank you, and good afternoon, everyone, and welcome to the Workiva First Quarter 2017 Earnings Conference Call. This afternoon, we'll begin with comments from Chairman and Chief Executive Officer, Matt Rizai; followed by Executive Vice President and Chief Financial Officer, Stuart Miller. And then we'll turn the call over to questions. Also on the line today are Marty Vanderploeg, President and Chief Operating Officer; and Mike Sellberg, Executive Vice President and Chief Product Officer. A replay of this call will be available until May 11. Information to access the replay is listed in today's press release, which is available on our website under the Investor Relations section. As a reminder, today's conference call is also being broadcast live via webcast. Before we begin, I'd like to remind everyone that during today's call, we'll be making forward-looking statements regarding future events and financial performance, including guidance for our second quarter and full fiscal year 2017. These forward-looking statements are subject to known and unknown risks and uncertainties. Workiva cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. Please refer to the company's annual report on Form 10-K or quarterly report on Form 10-Q for factors that could cause our actual results to differ materially from any forward-looking statements. Also during the course of today's call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are also included in today's earnings press release. And with that, we'll begin by turning the call over to our Chairman and CEO, Matt Rizai.
Matt Rizai: Thank you, Adam, and thanks to everyone for joining us today to discuss our first quarter 2017 results. Workiva is off to a strong start this year. We outperformed our guidance for quarterly revenue, operating loss and loss per share. As a result, we are raising our full year 2017 guidance, which Stuart will discuss in more detail later in the call. Total revenue for the first quarter was $51.9 million, an increase of 16.5% over the first quarter of 2016. We continue to sign new customers, and we continue to add more seats across our existing customers' organizations for use cases in finance and accounting, Sarbanes-Oxley act and internal controls, audit, risk, compliance and corporate performance management. We're also increasing use of Wdesk within state and local governments and universities. We continue to invest in technology and talent to execute our platform strategy. We also continue to sign more partners. Our consulting and accounting partners will offer our customers more services and capabilities. Our technology partners will enable data and process integration to further streamline critical business functions as we capitalize on growing Wdesk demand for broader-base, enterprise-wide opportunities. For example, last week, we announced the partnership with Fastpath to streamline SOX compliance. In March, we announced our partnership with Armanino, a large accounting and business consulting firm. Armanino will offer Wdesk with its domain expertise and managed services to clients in SOX and internal controls, internal audit and other GRC processes. We expect to announce additional partnership in the near future. Now I would like to share a few examples of new customers' use cases that illustrate the breadth and depth of Wdesk. Brookfield Property Partners will use Wdesk to construct their massive consolidation and business plan as well as their forecast API template. A regional energy company will use Wdesk for its business plan narrative. A European financial institution recently started using Wdesk for its own risk and solvency assessment, its solvency and financial condition report, its regular supervisory report and scheme of operations. We also continue to see strong demand for Wdesk in the SOX market in the first quarter. Recent SOX customer wins include Teleservices, Pioneer Natural Resources, WageWorks, Oppenheimer Holdings and Kaiser Aluminum. We also remain encouraged by the growth opportunities for Wdesk in Enterprise Risk Management or ERM, which executives use to identify systemic risks, determine and assess risk magnitude and plan strategic responses. Recent ERM customers include JLL Incorporated, MutualFirst Financials, Blackboard and Spectranetics. We also see growing demand for Wdesk among private companies for a variety of use cases. New customers include companies on technology, property management, real estate and healthcare services. We have also seen SOX success among private companies, which often choose to comply with SOX guidelines even though they are not required to do so. For example, a popular mobile travel application company will be using Wdesk to document internal controls. As we continue to expand Wdesk use, we also remain focused on our leadership in the SEC compliance market. We continue to add new customers at both large and small public companies as we believe that Wdesk is widely regarded as the best practice for SEC reporting. We see increasing demand for Wdesk from state and local governments and higher education institutions. New customers in this market include public employee retirement systems, state government agencies, municipalities, universities and colleges and local transportation authorities. Press releases this quarter on Wdesk expansion included: Smithfield Foods, which uses Wdesk to centralize SOX and internal controls; Dr Pepper Snapple Group, which uses Wdesk to improve accountability and eliminate time lags in management reports related to internal controls; Ron Foreman, which uses Wdesk to centralize its enterprise risk management, data and processes; and the Des Moines Area Regional Transit Authority, which uses Wdesk to improve accuracy and efficiency in its annual budgeting process. We're looking forward to our sixth annual user conference, which will be September 19 to 21 in Las Vegas, where we will offer sessions on a wide variety of advanced ways to use Wdesk. We're also proud of the continued recognition that Workiva receives. Chartis, a London-based analyst firm, recently named Workiva a category leader in its 2017 RiskTech Quadrant for model risk governance. Chartis also named Workiva as a best-of-breed vendor in its RiskTech Quadrants for audit management, enterprise GRC, IT risk management and operational risk management. And this past Tuesday, Workiva was named the Most Innovative Company of the Year by American Business Awards, also known as the Stevie Awards. We also won 3 Stevie awards in other technology categories. And last month, CFO Magazine named Workiva as one of the 20 tech companies to watch. And they wrote that "Workiva has products that are as essential to the offices of the CFO and the controller as oxygen is." In summary, our first quarter was strong. Adoption of Wdesk continues to gain traction with new and existing customers and our sales pipeline continues to build. We're excited about the multiple growth opportunities in front of us, and we remain focused on executing on our initiatives. With that, let me turn it over to Stuart Miller.
Stuart Miller: Thank you, Matt. As Matt mentioned, our first quarter results exceeded our expectations, and we continue to see positive momentum in the market. Operating cash flow was positive for the third consecutive quarter. We expect operating cash flow to be modestly positive for the rest of 2017. The improvement in our cash flow outlook is primarily due to revenue expanding at a faster rate than our headcount growth rate. I will begin by reviewing our first quarter results and then I'll comment on our second quarter and full year 2017 outlook. Thereafter, we'll open up the call to your questions. So we generated total revenue in the first quarter of $51.9 million, an increase of 16.5% from Q1 last year. Breaking out revenue by reporting line item. Subscription and support revenue was $39.5 million, up 17.7% from Q1 2016. 55% of the S&S revenue increase in Q1 came from new customers added in the last 12 months. The remaining 45% of the increase came from deeper penetration of our existing customer base. Professional Services revenue was $12.4 million, an increase of 12.7% from Q1 2016. Higher customer count in services for non-SEC use cases accounted for most of the growth in services revenue. We expect the growth rate of subscription revenue to continue to outpace the growth of services revenue in Q2 2017. Turning to supplemental metrics. We finished Q1 with 2,825 customers, a net increase of 268 customers from Q1 of 2016 and a net increase of 53 from year-end 2016. Our subscription and support revenue retention rate, excluding add-ons, was 95.1% for the month of March 2017, compared with 95.4% in December 2016, and 96.1% in March 2016. Customers being acquired or ceasing to file SEC reports accounted for a majority of revenue attrition consistent with our experience to date. With add-ons, our subscription and support revenue retention rate was 106.6% for the month of March 2017, compared with 107.4% in December 2016 and 112.1% in March 2016. Increased subscription revenue on non-SEC use cases from existing customers continues to be the primary driver of our add-on revenue retention rate. Moving down the income statement. I'll talk about our results before stock-based compensation that is on a non-GAAP basis. So please refer to our press release for a reconciliation of our non-GAAP and GAAP results. Gross profit was $37.9 million in Q1, up 19.7% from the same quarter a year ago. Gross margin was 73.1% in the latest quarter compared to a gross margin of 71.1% in Q1 2016. Now breaking out gross profit. Subscription and support gross profit was $32 million, equating to a gross margin of 81% on S&S revenue compared to $26.8 million or a 79.8% gross margin in Q1 2016. Professional services gross profit in the first quarter was $5.9 million, equating to a 47.6% gross margin compared to $4.9 million or a 44.7% gross margin in the same period last year. Gross margin typically peaks in our first quarter owing to higher – the high utilization rate of our services team who help our customers file their 10-Ks. Turning to operating expenses. Research and development expense in Q1 was $15 million, an increase of 8% from Q1 last year, due to increases in compensation, consulting expenses and server charges. R&D expense as a percentage of revenue improved this quarter to 29%, which is 230 basis points better than in Q1 last year because revenue expanded at a faster rate than headcount growth. Sales and marketing expense declined 8% in Q1 to $18.1 million, driven by improved operating efficiencies primarily from our simplified account management structure. Sales and marketing expense as a percentage of revenue this quarter improved 930 basis points to 34.8% from 44.1% in Q1 last year. General and administrative expenses were $6.1 million in Q1, a decrease of 2.5% compared with $6.8 million in Q1 2016. G&A expense as a percentage of revenue in the latest quarter declined to 12.9%, an improvement of 250 basis points from Q1 2016 due to improved operating efficiencies. Operating loss was $1.8 million in Q1 2017, compared to an operating loss of $8.7 million in the same period last year. Workiva's operating margin improved 16 percentage points in Q1 2017 versus the same quarter a year ago, primarily because the growth rate revenue exceeded the growth rate in headcount. While our guidance implies improvement in Q2 2017 operating margin, we expect incremental investments in technology and talent in the second half of 2017 to moderate operating margin improvement for the full year. Net loss was $1.7 million for Q1 2017, compared to the net loss of $8.7 million in Q1 last year. We posted a net loss per share or $0.04 in Q1 2017, compared to a net loss per share of $0.21 in the same quarter a year ago. Turning to our balance sheet and our statement of cash flows. At March 31, 2017, cash, cash equivalents and marketable securities totaled $64.7 million, an increase of $2 million compared with the balance at year-end 2016. In the first quarter of 2017, net cash provided by operating activities was $2.6 million compared with a net use of cash of $19.1 million in the same quarter a year ago. We expect operating cash flow will be modestly positive for the rest of 2017. At March 31, 2017, total deferred revenue increased $4.2 million from December 31, 2016. Long-term subscription and support deferred revenue increased $1 million in Q1 due mainly to customer contract renewals for multi-year terms. Short-term subscription and support deferred revenue increased $4.5 million in Q1, driven by new sales and conversion of renewals from quarterly to longer terms. We continue to make steady progress on converting quarterly contracts to annual contracts. Services deferred revenue declined $1.4 million during the quarter, reflecting a typical contraction that we see just after the 10-K season. Turning to our guidance for 2017. Our guidance on a non-GAAP loss from operations and non-GAAP loss per share excludes the impact of stock-based compensation. Please refer to our press release for a reconciliation of non-GAAP and GAAP guidance. For the second quarter of 2017, we expect total revenue to range from $48.1 million to $48.6 million. We expect GAAP operating loss to range from $12.5 million to $13 million. Non-GAAP operating loss is expected to be in the range of $8 million to $8.5 million. We expect GAAP net loss per share to range from $0.31 to $0.32. Non-GAAP net loss per share is expected to be in the range of $0.20 to $0.21. Our loss per share guidance assumes $41.3 million basic and diluted shares outstanding. We are raising guidance modestly for the full year 2017 as follows: we expect total revenue to range from $204 million to $206 million. We expect GAAP operating loss to range from $44 million to $46 million. Non-GAAP operating loss is expected to be in the range of $26 million to $28 million. For the full year 2017, we expect operating cash flow to be positive. We expect annual operating cash flow to be positive thereafter. We expect GAAP net loss per share to range from $1.08 to $1.13. Finally, non-GAAP net loss per share is expected to be in the range of $0.64 to $0.69. Our loss per share guidance for the full year assumes 41.4 million basic and diluted shares outstanding. So to wrap up, Workiva posted another strong quarter. We're pleased with the progress we're making in cash flow and operating margin. Demand remains robust for our solutions and we remain focused on executing our growth and plan to capitalize on our multibillion dollar market opportunity. We will now take your questions. Operator, we're ready to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from Tom Roderick with Stifel. Your line is open.
Matt Van Vliet: Yes, I'm Matt Van Vliet on for Tom. Thanks for taking my question.
Matt Rizai: Hi, Matt.
Matt Van Vliet: How is it going? So you talked about in the past that majority of your bookings were expected this year to be non-SEC. I was wondering if you could give us an update in terms of either that metric or maybe more specifically what – which areas of non-SEC are you seeing the most traction with early in the year and what's the pipeline looking like?
Matt Rizai: Yes, we really don't comment other than giving the guidance one time at the end of the year. So we'll be able to give you a better feel of it this year where we've been, but we do feel that the split between SEC and non-SEC should be around 50-50, more tilting toward non-SEC side of the business. And we'll – that's how we think it is. But it's – some of the IPO market gets to be quite strong and that may tilt it the other way slightly, but we'll see.
Matt Van Vliet: And then, I guess, looking at the sales and marketing spending specifically in the quarter, were there one-time items or was there anything that sort of deferred out of the quarter that we should expect to sort of tick back up through the rest of the year because it looks like your margin guidance is indicating some increased spending. Should we expect that in headcount later in the year? How should we think about that line item?
Stuart Miller: So Matt, this is Stuart. A lot of the improvement in Q1 was around localization of accounts that were sort of less travel and simplified structure. You're right about the forecast. We are making some investments in – continued investments in talent in that area and in R&D.
Matt Van Vliet: All right, great. Thank you.
Operator: Your next question comes from Terry Tillman with Raymond James. Your line is open.
Brian Peterson: Hi. This is Brian Peterson in for Terry. Good afternoon, gentlemen. So I know you mentioned last quarter that some sales cycles lengthened for the enterprise deals. Just curious how those have progressed thus far in the quarter? And is there anything that you can say in terms of productivity of the reps in the realigned to go-to market structure?
Matt Rizai: Well, I think, we feel pretty good about the way that we're aligning the way that we manage our sales organization and account management that goes along with that. And also as we've talked about it before, our focus is to execute our Wdesk platform strategy. We definitely are seeing a lot of demand from large organizations to be able to use Wdesk platform as the platform for them to be able to author data and leverage the data. And as we talked about it before, we have several engagements with large organizations that we're working on the enterprise discussions with them. And as you can imagine they are larger deals, and they have larger sales cycles. And we feel very good about progress that we're making in that front.
Brian Peterson: Got it. And maybe just 1 for you, Stuart. If I look at the subscription revenue coming from new customers. That was pretty strong this quarter at 55%. I know that's a trailing number. But I'm just curious how that sort of split with the new customer adds between SEC and non-SEC use cases?
Stuart Miller: Yes. We don't – we have not historically nor do we really intend to going forward get to that level of granularity. But I will say that we had pretty good progress on new customers in multiple use cases.
Brian Peterson: Got it. Thanks guys.
Stuart Miller: Thanks, Brian.
Operator: Your next question comes from Rob Oliver with Robert Baird. Your line is open.
Jason Velkavrh: Hey, guys. This is Jason Velkavrh on for Rob. Thanks for taking my questions here.
Matt Rizai: Hi, Jason.
Jason Velkavrh: Hey, guys. First question, you mentioned a number of partnerships. I know increasing partnerships is an initiative that you're working on. I was just wondering if you could elaborate a little more on how partners fit into your go-to-market strategy, specifically – are partners opening up accounts that Workiva may not have had access to before, so new customer growth? Or would you characterize the partner role more as, as you mentioned, leveraging the expertise to possibly expand into non-SEC use cases with existing customers?
Matt Rizai: Mike, do you want to address that a little bit?
Mike Sellberg: Sure. Yes I think, really, really both. We've got kind of integrated, what we call integrated practice partnerships which are really focused on advisory firms that can add domain experience around solutions into new markets and new domains outside of SEC. So in that case they will certainly bring us into accounts around some of those new use cases, and then help provide services around that with Wdesk. We also have technology partnerships where, for our sake, we will integrate with a partner and provide added value to the Wdesk solution. And so in the case of Fastpath that we talked about, that's an example of that. And so in that example, we will both bring each other into accounts whether it's added value of our integrated solution.
Jason Velkavrh: Got it, that's helpful. And then 1 more question from me. So I think you mentioned the surge in Professional Services in 1Q, and a lot of that has to do with you helping folks with their 10-Ks but also the non-SEC use cases. I get a sense those are more service-heavy from an implementation side. How should we – as that piece of the portfolio, the non-SEC side, becomes a bigger part of the mix, how should we think about that Professional Services line going forward? Is that something we would start to see a changing seasonality in the next couple of years?
Stuart Miller: Yes, so this is Stuart. So it is – it should become less seasonal over time as SEC becomes a smaller percentage of the overall business, but it will be gradual. The thing to keep in mind there is that services is the hardest thing for us to predict when we give guidance, and it's a little bit volatile because it – you can sell something in the same quarter and deliver on it. And relative to the visibility that we have on subscriptions, it's a little bit of more volatile. But you're right. It depends on the use cases. And there are certain use cases that are – that require more services than others and there are certain customers that require more services than others. And that's why it can be a little bit volatile quarter-to-quarter.
Jason Velkavrh: Okay, great, thanks. That’s all for me.
Operator: Your next question comes from Michael Nemeroff with Credit Suisse. Your line is open.
Chris Rochester: Hi. This is Chris Rochester on for Michael. Thanks for taking my question. Just to elaborate on the partnership channel, I mean, it sounds like you continue to sign new partners. But are you seeing much improvement in revenue contribution yet? Or is that still expected to be more back half weighted?
Matt Rizai: Yes, that would be later in the year that we would expect as we're signing up the partnership agreements and spinning them off and – to make sure that we can both leverage our businesses. So I would expect that to be toward the end of the year.
Chris Rochester: Okay, thanks. That’s all for me.
A - Matt Rizai: All right. Thank you, everybody. In closing, I want to thank you to join us today. And operator, you may now end the call.
Operator: This concludes today's conference call. You may now disconnect.